Operator: I would like to welcome everyone to the BearingPoint investor conference call. (Operator Instructions) Ms. Weaver, you may begin your conference.
Connie Weaver: Thank you, Teresa and good afternoon to everyone. As Teresa mentioned, I'm Connie Weaver, BearingPoint's Chief Marketing Officer and also Head of Investor Relations. With me here this afternoon are Harry You, our Chief Executive Officer; and Judy Ethell, our Chief Financial Officer. We hope that you've had a chance to review our Form 10-Q filed earlier this afternoon; since it just made the wire at 5:00, I'm sure you really haven't. We are going to take the time in this next hour or so to review the high points of our filing for the second quarter, the 10-Q, and also included in that you will find metrics for the third quarter which we will be discussing. At the end of our call, we will be opening the lines up, we will take a Q&A period and we will try to answer as many of your questions as possible. The operator will be providing us with instructions on how to do that at the end of our formal remarks. I would ask you at that time to try to keep your questions to about two per person, so that we can get through as many of you as possible. Before we get started, the information covered on today's call which is not historical in nature consists of forward-looking statements within the meaning of the Federal Securities law. Words such as may, will, could, would, should, anticipate, continue, expects, intends, plans, believes, in the company’s view, and similar expressions are used to identify forward-looking statements. These statements are only predictions; as such, they are not a guarantee of future performance and involve risks, uncertainties and assumptions that are difficult to predict and which could materially, adversely affect the company's financial condition and results of operations. Forward-looking statements are based on assumptions for future events that may not prove to be accurate. Actual outcomes and results may differ materially from what is expressed or forecast in forward-looking statements. As a result, these statements speak only as of the date they were made. The company undertakes no obligation to publicly update or revise any of the forward-looking statements, whether as a result of new information, future events or otherwise. Please refer to 1(a) Risk Factors, contained in the company's annual report on Form 10-K for the fiscal year ending December 31, 2006; and the company's quarterly report on Form 10-Q for the second quarter of 2007; and subsequent filings with the SEC for additional information regarding the risk factors. With that, let me turn things over to Harry You for the formal part of the session.
Harry You: Thank you, Connie. Thank you for joining us this afternoon to review our second quarter 2007 results. This filing marks yet another important step in becoming timely with our SEC reporting. We filed our second quarter 10-Q within a few weeks of publishing our first quarter financials; and more importantly, prior to the due date for our third quarter 10-Q.While we are not ready to declare victory just yet, I am pleased about our progress, and I'm excited about our future. Over the past two years, our people have not lost their focus on satisfying their clients, executing elements of our strategy and building a more solid future for our company. In fact, there are countless examples of progress being made across the firm, whether it is our growth in China, success in our emerging markets practice, the launch of our new brand, or a smarter go-to-market approach with our solutions, we are working hard to position ourselves for continued success in the marketplace. We have made this progress even in the face of greater market uncertainty, and the overhang of not having current financials. While 2007 has not been without its challenges, as you will see in some of our second quarter numbers, I believe we are at a turning point and I'm excited about what lies ahead. Our mission remains to be one of the preeminent consultancies in the world, and I believe we have the right people and the right solutions to achieve the results we aspire to. Our customers believe that this is true, and we need to persuade recruits and new shareholders that this is the case. Becoming a timely filer, I believe, will be a critical inflection point for the firm. While we are not there yet and there may be challenges ahead, we expect to file our third quarter financials later this year, setting the stage to timely file our 2007 10-K in February, and hopefully put this incredibly hard and costly part of BearingPoint's history behind us. In so doing, we will intensify our efforts to drive profitable growth, including making important decisions about where we will play and where we won't; taking more decisive actions to cut our SG&A, but also investing in our core business, our brand and our people; something which we haven't been able to do on account of the distractions we have faced over the past two years. Many of you ask why it's taken so long and cost so much, and I think when you look at what we've had to do in terms of GAAP events accounting and catching up with all of the historical errors in the past as well as remediating our system, it has been a task that has taken longer than I would have thought and been more costly. But at the same time, I hope people do not underestimate how with this burden relieved, I hope we can perform better in the future. We also hope to be able to more proactively position ourselves with clients and also resume regular communications with The Street, starting with this conference call. So with that, let me turn to our second quarter results. For Q2 results, our gross revenues for 2007 for the second quarter were $875.3 million, a decrease of 1.9% from the second quarter of 2006. As we look at our North American units, our results were mixed as strong performance in our public services unit was offset by declines in financial services and commercial services. In the second quarter, public services -- the cornerstone of our business, representing 41% of revenue -- grew year over year by 5.4% as we continued to win work with existing clients and expanded our footprint in high growth markets within the PS sector, even in the face of Federal appropriations delays in the first half of the year. For instance, the U.S. Navy recently awarded us a five-year engagement worth $57.9 million to provide IT management support. In the State and local markets, clients are now turning to BearingPoint as one of the leading providers of retirement, motor vehicles, and unemployment insurance IT solutions, as evidenced by the recent e-gov win with the California Department of Motor Vehicles. Similarly, we have built a strong emerging markets practice supporting agencies such as The U.S. Agency for International Development, USAID, across the globe. In the quarter, our financial services unit continued to be impacted by the same challenges which affected our first quarter results. As previously disclosed in the latter part of 2006, one of our largest FS contracts rolled off after successful completion. Even though this contract represented a significant piece of our FS portfolio at the time, we hope to offset the impact by booking enough work to refill our backlog. But we were unsuccessful, largely on account of client perceptions regarding our filing situation and financial position, which resulted in a significant decline in FS bookings. At the same time, we lost some key professionals in our high growth technology practices within FS, which weakened our competitive position. Unfortunately in the first quarter, we did not respond quickly enough to reduce our capacity in response to these issues, so this materially impacted both our revenue and profitability. During the course of the second quarter, however, we reacted more aggressively to these challenges by right-sizing our cost base in FS. We have reduced billable headcount and will continue to trim costs to manage profitability. So even though client perceptions regarding our filing situation and financial position continue to disproportionately impact our FS business, we are hopeful that the information we provide today and the timing of our announcement can start to put an end to these misperceptions once and for all. Also, while we cannot completely discount the risk that the business deteriorates even further given uncertain market conditions, FS now represents only a small portion of our overall revenue and gross profit. Commercial services also contracted in the second quarter. As you know, over the past 18 months, we have taken significant steps to refocus our commercial services practice, including establishing new leadership under Ed Harbach and implementing a broad set of initiatives to rationalize account strategies in an effort to better target offerings across our prioritized industry. We continue to exit small and unprofitable accounts and continue to refine our focus based on evolving market trends and our skillset to ensure we deploy our energies and investments in the most effective way. We are starting to see that strategy yield results as evidenced by our improving rate per hour in CS, which is at its highest level since September 2004. For example, in our telecom practice, we undertook a significant restructuring effort early this year under the leadership of Tom McKelvey. We rationalized our client portfolio, cleaned up our contracts, established new leadership beneath Tom, recruited industry experts, and rebuilt the competitive pipeline and salesforce to push the segment forward. While we are at the beginning of this turnaround in telecom, we are optimistic that we are following the right course of action to reignite profitable growth. We clearly have more work to do across CS, but we are executing against our strategy and hope to report on our progress in the latter part of 2007 and in 2008. Now turning to our global segments, we are pleased by the results of our international units, EMEA in particular, which turned the corner in 2006 after several years of contracting revenue and significant losses. In fact, from 2003 to 2005, EMEA accumulated net losses totaling $750 million including goodwill impairment charges. So 2006 represented the first year that the unit was profitable and cash flow positive, and this reflects the significant progress made by Peter Mockler and his team, who undertook an aggressive restructuring program to improve EMEA's underlying operations. I'm pleased that the results continue to be strong into the second quarter of 2007, with the team delivering double-digit growth aided by a favorable foreign exchange benefit of 7.9% to gross revenues. Performance was driven by significant growth in Russia, Ireland and the United Kingdom. Another key driver, while not as impressive as the record expansion in some of the smaller countries, was the continued growth of our French practice, which grew 12.1% in the second quarter and accounts for 23% of our revenue in the region. Asia Pacific’s revenue grew 0.3% in the quarter, reversing the declines in the first quarter. As we previously stated, we are very bullish on prospects for the region. Our performance in China has been especially encouraging. BearingPoint was one of first management consultancies in China. We are now growing profitably in this important market and we continue to be at the forefront of change as a key partner to the government in developing this important sector. In fact, in early September I had the honor of outlining a strategy for developing China's outsourcing industry in a keynote address at the 2007 International Investment Forum in Xiamen. The forum is part of the world's largest international investment event aimed at bilateral investment cooperation. Our participation was a great honor. Of the nine speakers, seven were Deputy Prime Ministers or Prime Ministers from other countries. BearingPoint and Emerson Electric were the only two companies invited to present. In attendance were more than 800 government officials from around the world, including Vice Premier of China Wu Yi, considered by Forbes as the world's second-most powerful woman. We continue to be excited about our unique position in the Chinese market, which should bode well for future growth in the region. Despite the decline in overall gross revenue, net revenue increased slightly to $682 million as we continued to reduce our dependency on subcontractors. We are also encouraged by improving net rate per hour trends, which have increased on sequential basis over the past four quarters for all our business. Moving down the P&L for our business, our gross profit for the second quarter was $142.5 million, or 16.3% as a percentage of gross revenue compared with $191.6 million or 21.5% for same period last year. This change was the result of the revenue decreases discussed earlier, as well as an increase in professional compensation, largely driven by higher bonus accruals and stock compensation expense, each of which we thought were critical to maintaining our best and brightest people as we make it through these last hard stages of writing our financial systems and SEC reporting results. Our total stock compensation charge in the second quarter amounted to $30.9 million compared to $11.5 million in the same quarter of 2006. The Q2 expense was comprised of $21.6 million associated with our performance share unit, or PSU plan; $5.6 million related to vested RSUs; $2.2 million in options expense; and finally, $1.5 million associated with our ESPP, and owner plans and restricted stock awards. While the PSUs quick vest in 2009, pending our ability to achieve certain shareholder performance criteria, GAAP generally requires us to expense the cost ratably over three years. This resulted in a $21.6 million increase to stock compensation in Q2 2007 compared to Q2 2006, most of which falls in the professional compensation line, as it is associated with billable staff. So while these costs have impacted our near-term profitability, we believe that increased focus on stock and variable compensation have been effective in retaining our best performers during these challenging times, and in aligning the interest of our shareholders with our employees. While overshadowed by the non-cash stock compensation expense, I do want to note the improved profitability of our EMEA and PS business units. Over the course of 2006 and into 2007, PS has shown improved profitability. We continue to enjoy a leadership position in many of our key segments, which has led to improved net rates per hour and increased utilization. Similarly, EMEA also posted record results after two years of restructuring efforts as I described earlier. EMEA's leadership has also begun to operate as a region as opposed to a loose cluster of country practices. This has resulted in better resource coordination, a rationalization of its solutions portfolio, and better utilization. Now turning to SG&A, our expenses totaled $174.7 million in the second quarter, representing an improvement in absolute terms from the second quarter of 2006. That improvement was primarily due to the planned reduction of temporary accountants and other costs relating to the closing of our financial statements. While we are still running well above where we want to be, our finance and accounting costs are declining. In fact, we currently expect external finance and accounting costs to amount to $81 million for 2007, a significant reduction from 2006 levels of $128 million. Overall, we are well on track to deliver on our commitment to reduce corporate infrastructure expenses in 2007 by approximately $60 million year over year. Our plan is to take even more decisive actions in the latter part of 2007 and into 2008 to further right size our SG&A, an issue on which we will update you in the months ahead. It is our hope to reduce our SG&A to industry levels in the mid-teens as a percent of net revenue by the end of 2009. In the second quarter, we posted an operating loss of $32.2 million compared to an operating profit of $14.7 million in the second quarter of 2006, and a net loss of $64 million, or $0.30 per share, compared to a net loss of $2.9 million, or $0.01 per share in Q2 of 2006. The factors contributing to the net loss for the second quarter of 2007 were as follows: First, a decrease in gross profit of $49 million, primarily due to revenue reductions and the increased stock compensation expense I described earlier. Second, an increase in interest expense of $6.8 million, primarily related to additional costs associated with our new 2007 credit facility and acceleration of debt issuance costs from the termination of our 2005 facility. Finally, an increase in our income tax expense of $6.1 million. Turning to our balance sheet and cash flow, I would like to spend a few minutes walking through a detailed cash reconciliation for the past six months, as I believe it will shed light on not only what drove our cash outflows in the first half of the year, but also provide a better perspective on our outlook for the remainder of the year. As you well know, we ended 2006 with $393 million of cash on our books, largely driven by strong collections and improved business performance at the end of the year. At the end of June, however, our cash balance declined to $353 million, inclusive of net proceeds of $282 million from our 2007 credit facility. This represented a $322 million decline over the period. While significant, it can be largely explained by the following six factors: (1) $37 million of cash use related to our net loss for the six months ended June 2007, adjusted for non-cash items. (2) $108 million associated with the 13-day increase to DSOs over the same period, which I will review in more detail a bit later. (3) $108 million related to payments of certain 2006 payables or liabilities. In other words, items for which the GAAP expense was reported in 2006, but the cash flow impact is reflect in our 2007 balance. This included $86 million associated with the payment of 2006 bonuses and other payroll-related items, as well as $22 million of costs for the fiscal 2006 audit. While we will always have some items track over from year to year for payment, the $107 million paid in the first half of 2007 was unusually high. (4) Payment of unusual items totaling $44 million. This reflects settlement costs of $35 million primarily related to two telecom clients and KPMG; and a $9 million cash outflow related to our real state restructuring efforts in the first half of 2007. (5) Accounts payable in the normal course of business, including cash taxes and other miscellaneous items totaling $2 million. (6) $23 million of capital expenditures. So if you analyze the numbers, you will see that nearly half of the $322 million decline was actually related to 2006 items or unusual issues that materially impacted our cash balance in what is also the weaker collections half of the year. The other significant component, as referenced earlier, was a change in our DSOs which rose sequentially from 82 days at the end of December to 95 days at the end of June, resulting in a $108 million reduction in cash. This increase was in large part due to a sequential increase in unbilled revenue which largely reflects historical business patterns. In fact, on a year-over-year basis, unbilled revenue at the end of June 2007 actually decreased by $7 million from the same period in 2006. So we continue to focus on managing unbilled more efficiently and continue to believe that these are largely collectible. So while DSOs did increase sequentially in both the first and second quarters, if you look at year-over-year trends which remove the distortion of seasonal business patterns, we have successfully reduced DSOs on a year-over-year basis every single quarter since March 2005. The 91 days reported in the first quarter of 2007 compares to 102 days at the end of Q1 in 2006, and 112 days at the end of Q1 of 2005. The 95 days reported for the second quarter of 2007 also represented a significant improvement from 104 days at the end of June 2006 and 111 days at the end of June 2005. So DSOs continue to be a significant lever, and while we have further room for improvement, trends show that we are consistently moving in the right direction. As a result of these movements, operating cash flow and free cash flow for the six months ended June 30, 2007 decreased to negative $298.4 million and $321 million respectively; again, primarily attributable to the timing of 2006 payments, the historical issues I mentioned earlier, and cash usage from operations. We were able to turn the corner in the third quarter and generate positive cash flow from operations on the back of strong collections, a pattern which we signaled to you earlier this year. This drove our cash balances up to approximately $430 million, a $77 million sequential improvement over the second quarter. Our DSO improvement in the third quarter will represent the tenth consecutive quarter of year-over-year reduction in DSOs from 96 days in Q3 of 2006 and 108 days in Q3 of 2005. As we look out to the end of the year, we hope that our cash balances will be above Q3 levels in the range of $450 million to $500 million, dependent on our operating performance and on our ability to collect cash at a better rate than in the fourth quarter of 2006. In order to achieve this objective, we are tying the payment of bonuses to DSO targets as we did at the end of 2006 and to overall business performance, and we believe that this incentive will again drive positive behavior. As you will recall, our Q4 DSOs last year stood at 82 days and that was a 12 and 21-day improvement from 2005 and 2004 levels respectively. To the extent we are able to reduce our DSOs below 2006 year end levels there are opportunities for upside in our cash balances. So as previously stated, we are comfortable with our capital structure and with the ability of our business to generate sufficient cash to run itself over the next 12 months. We are focused now more than ever on driving profitable growth in the future, which should allow us to continue the increase in cash generated by our business. Let me talk now about Q2 and Q3 business metrics. In addition to providing this outlook on cash, I would like to provide a perspective on our current operational performance by reviewing our second and third quarter metrics. Bookings for the second and third quarters of 2007 totaled $746.8 million and $764.1 million respectively, bringing total bookings for the first nine months of 2007 to $2.2 billion. Year-to-date totals represent a year-over-year decrease of 8.7% as growth in our international business units was more than offset by declines in our commercial services and financial services business units, and the lingering effects on our public services unit associated with Federal appropriations delays. While we have recognized that the year-to-date numbers have been softer than we would have hoped, we are encouraged by the steady quarter-on-quarter improvement over the course of the year. This is especially true for PS, our largest business unit, which recorded its highest bookings quarter ever in the third quarter of 2007 as a result of both new wins and an increase in the amount of appropriations approved by Congress, coinciding with Congress' fiscal year end. This allowed us to book significant amounts of previously won but unfunded business, which resulted in an increase of our reported bookings and a corresponding decrease in our unfunded contract signings in the third quarter of 2007. I would like to note, however, that despite this surge in appropriations in the third quarter, our unfunded contract signings still remain well above our historical average -- about 40%, in fact -- which means that we still have a significant amount of work that has been awarded but is still awaiting funding. So the good news is that we will continue to win in the market, and the opportunity to convert these unfunded contract signings into bookings is still there. Our record performance in PS more than offsets soft bookings in our commercial services and financial services business units, but we are starting to see momentum across some commercial services segments, which is encouraging. In fact, Q3 bookings in our telecom practice were up double-digit on both a year-over-year basis -- up 10.1% -- and more than double from the second quarter, up 108%, demonstrating that we are turning the corner and that our strategy is yielding results. Similarly, life sciences bookings also increased on a year-over-year basis, up more than 100%. I feel that we are well positioned to capture demand in this sector based on our innovative work to-date. For instance, BearingPoint is working collaboratively with the three leading community pharmacy organizations on Project Destiny, a transformational strategy to enhance the role of community pharmacists in the healthcare system by bringing more value to patients with chronic conditions through medication and disease management. As far as financial services is concerned, we are cautious as we continue to correct our own issues and wait to see what, if any, impact the recent turmoil in the credit markets will have on future IT spending budgets. After a strong performance in the first half of 2007, bookings in our international units decelerated in Q3 of 2007, but our pipeline remains solid and we continue to be optimistic, especially in Asia Pacific. So in summary, we are encouraged by the sequential improvement in bookings in the second and third quarters, which underscores that we are winning in the marketplace, and this is a testament to our focus on client satisfaction. Based on internal and third-party measurement, our overall client satisfaction scores continue to improve and are solidly above the industry average, with clients citing our account management skills and ease of doing business as key strengths for BearingPoint. I would like to thank all our people who continue to deliver superior results for our clients. They truly understand that customer focus will be critical to our future success. Turning to utilization, I am pleased to report that the metric continues to increase and improve. For the second and third quarters of 2007, utilization was 76.3% and 78.5% respectively. Thanks to all of our efforts around resource management, we hit a record high of 80% in the month of September. We believe that our target of 80% utilization for the business consistently is now well within sight. We've also made progress on attrition. For the second quarter of 2007, total voluntary annualized attrition was 26.4%, down from 28.6% in Q2 of 2006. Data for the third quarter is equally encouraging, with total voluntary attrition at 25.8%, a 60 basis point improvement from the first quarter of 2007, and a 250 basis point improvement from the second quarter of 2006, further demonstrating that our people are committed to the long-term success of the firm. Management and Director attrition continues to be within our target range. In fact, we estimate that the normalized MD attrition remains stable at approximately 9%. While retention remains a critical priority, this year-over-year improvement shows that we're making progress in attracting, developing and retaining top talent through such initiatives as our new brand program and our innovative training program with the Yale School of Management. In fact, of the 1,200 employees who have already attended our Yale program, turnover was less than 3%, significantly below the firm average. We expect that a total of 1,500 of our high performing employees will attend the Yale program this year, and we are planning to double attendance in 2008, as this is proving to be not just a great development program, but also an effective retention tool. We are also pleased to announce that we have hired a new Human Resources leader, Rick Martino, who joins us after 18 years at IBM where he was Head of Talents under Lou Gerstner and several years as Chief Administrative Officer and Chief Operating Officer of the March of Dimes. Rick has a great track record of enhancing employee development and transforming people programs on a global basis. With that, I would now like to turn the call to Judy to give an update on our filing targets and other key initiatives.
Judy Ethell: Thank you, Harry. With our Q2 filing, we have achieved another important milestone toward becoming a timely filer, and this represents another example of meeting the commitments we set at the beginning of the year. In fact, while we have said all year that our goal was to get current with our third quarter filing, we have exceeded that target by filing our second quarter ahead of schedule. As we previously stated, however, we do not expect to file our third quarter 10-Q on time by November 9th. With that said, we are on track to file before the year's end, when we will return again to current filer status. We will then focus on the ultimate goal of timely filing our 2007 10-K in February of 2008 and hopefully put this incredibly hard and costly part of our history behind us. Because we are technically current with this second quarter filing, we will again begin to gradually provide our people with the opportunity to acquire shares under our various employee share plans. As we discussed on our last call, our goal is to provide liquidity opportunities for our people, but at the same time to ensure a phased entrance of new shares into the market. With regard to this quarter, we will be settling shares due under our employee stock purchase plan only. We estimate that this will be approximately 6.5 million shares in total. Historically, we have experienced rates of rapid resale among our employees of around 30% of delivered shares; but since we have been unable to settle shares under this program for the last two years, we really cannot estimate what is likely to occur. With respect to restricted stock unit awards that are vested but unsettled, we intend to exercise our rights and discretion under the various awards to settle approximately 6.5 million shares after each of our SEC filings. We are hopeful that this phased delivery schedule will facilitate the orderly sale of shares by our employees into the market. Let me talk a little bit about our SOX update and systems. We also continue to make substantial progress on our SOX remediation efforts. Significant improvements have been made in our controls over identifying, tracking and accounting for our cross-border travelers; our ability to control and properly account for our facilities management functions; and identifying, tracking and properly accounting for our property and equipment and the preparation of reporting our income tax accounts. Based on this progress, we expect to remediate at least three of the nine -- and possibly more -- of our material weaknesses in fiscal 2007. This makes us confident that we will achieve our goal for a clean Sarbanes-Oxley opinion for 2008. At the same time, we are moving ahead with the transition to our new financial system. We are confident that this is the right thing to do to take our business to the next level and reduce costs in the long run. With the benefit of our history, we want to take a very measured and thoughtful approach. We are still planning to begin this process in the second half of 2008. To that end, the strategy, design and build phases for the project are proceeding as planned. In the interim, we continue to make incremental improvements on our existing North America financial reporting systems to be able to support and achieve our goal of remaining timely in our SEC periodic reporting in 2008. With that, let me turn it back to Harry.
Harry You: Thanks, Judy. In addition to these efforts, we also continue to explore potential strategic initiatives. I am pleased to report that we are making progress as scheduled in our exploration of the potential sale of our EMEA units to our managing directors in EMEA. We have undertaken some plans to provide debt financing for this transaction, and are now beginning to reach out to potential third-party mezzanine equity sources to test their interest in participating. As we discussed with you in February, we continue to believe that taking this path with our EMEA business will help drive shareholder value, reduce cyclicality of our business, further strengthen our balance sheet and lower costs, while retaining the benefits of a federated global business model. We are on schedule and still expect to reach final decision by year end as to whether to proceed with the EMEA transaction. I'm pleased that we continue to move in the right direction on this front. As we look ahead, 2008 will be a critical year for BearingPoint, as we stand at the crossroads of becoming a timely filer and pivoting to a new phase of our transformation. As you well know, the last three years have been extremely challenging, as we had to focus all of our energies on addressing a wide range of historical issues, whether it be reducing our litigation docket, which is now largely fixed; fixing our financial systems; investing significant amounts to get current financials and position ourselves for SOX compliance as Judy just detailed; restructuring our real estate portfolio; resolving contract disputes and cleaning up our engagement portfolio, as well as implementing stock and bonus retention programs. These charges and cash outflows amounted to a staggering $1 billion, resulting in cumulative net losses of $1.5 billion from 2004 to 2006. These efforts have been far more costly and have taken longer than any of us ever imagined -- including myself -- but essential to better position ourselves for the future. To give you an example, our real estate costs have gone from 5.7% of net revenues to 3.9% in the first half of 2007. But as we look ahead, we still have some work to do, as evident in our results for the first six months of this year, but the cash flows attributable to the mistakes of the past are largely behind us. I expect that the full year results will be largely consistent with trends observed in the first half of 2007. So while we are likely to grow over fiscal 2006 levels, we expect our underlying profitability to be lower than last year. Hurdles have included significant headwinds related to not having current financials, challenges in our FS and CS business units, and higher compensation costs which have reduced our underlying profitability. In addition, we continue to streamline our cost base and expect an additional real estate restructuring charge in the fourth quarter. While we are bullish on our cash outlook for the year, targeting a range once again of $450 million to $500 million at year end, we have not lost sight of our need to grow profitably and generate significant free cash flow. We are resolute to take our business to the next level. Getting current should remove a significant amount of headwind we have faced over the past two years with clients and our people; headwinds that our competitors have tried to use to their advantage. We understand that getting current alone is not the panacea, and we need to undertake additional steps in the remainder of 2007 and 2008 to better position ourselves to achieve our goals. In 2008, we will strive to achieve GAAP profitability, which will be a significant achievement after years of GAAP losses and to generate free cash flow consistently. While we will still bear some costs associated with our new systems implementation and additional restructuring efforts, we will continue to tackle our SG&A with the objective to reach industry levels by the end of 2009, in the mid-teens as I described before. To the extent we are able to move forward on our strategic initiatives, we may be able to accelerate this, but recognize we also need to invest in our future. To that end, we will turn our energies towards what is most important, our business and our people. This will entail driving increase investments in our focus areas, where we know we can win profitably. We plan to increase our training efforts under Rick Martino's leadership to ensure that we retain and recruit the best and brightest at BearingPoint. We plan to invest in our new brand to increase client awareness and differentiation, which in the long run should lower our cost of sales. While we plan to accelerate our investments in our core areas, we will also continue to prune our portfolio and exit unprofitable segments. This strategy is focused on driving much higher return on investment and return on invested capital. We plan to invest in our global development centers where we have lagged the competition. This does not mean that we will take offshore for offshore’s sake, but rather to optimize the cost of our delivery. These are examples of how we can position ourselves for long-term success, not only for the benefit of our people, but also for our clients and shareholders. We cannot defer investing in our business, as this will help reignite growth and drive profitability for our long-term success. In the months to come, we will keep you posted on our progress and upcoming plans as we close this long chapter on our past. As part of that commitment, we intend to host an investor day as soon as practically possible to reintroduce you to the new BearingPoint and share with you the many accomplishments we have achieved to date, but more important, to address our long-term strategy. I'm optimistic about the future, and what it will bring to our employees, shareholders and customers. We truly appreciate your continued support and patience and we look forward to updating you in the near future. Now I would be happy to take your questions. Teresa, please provide the instructions for the question-and-answer period.
Operator: (Operator Instructions) Our first question comes from Pat Burton - Citigroup.
Pat Burton: In the financial services segment, Harry, what do you think it will take to get the bookings back up in that specific business? I realize you've downsized it, but what will it take to improve profitability? Thanks.
Harry You: Pat, I think we need to turn the corner on bookings. I think with all candor and a sober assessment of the situation, I think we are going to have to look past the end of this year. I think we have to see how banks like yourselves and other brethren you have in the capital markets business, how they fare at year end and what is the fate for IT spending plans in the New Year? So I think we're getting a grip on costs and putting our business in the right size context, but obviously the best tonic will be to have bookings bottom out and turn upward. I think realistically that's an '08 phenomenon, not something that we'll see anytime in the near future. The good thing is that we have a very high quality practice. It's had before, when you look on a stand alone basis, EBIT margins in the mid-teens; those obviously have dramatically come down with the large revenue declines. But the quality of the people and the esprit de corps of the teams, as well as their reputation with clients is still there. I think we just need clarity on the overall stock market and capital markets environment before calling that turn.
Pat Burton: In terms of the stock comp level for the whole company, would you look for that number to keep increasing as we move forward, or should that begin to plateau? Thanks.
Harry You: I think it's plateaued, Pat, and I think relative to the performance share units, we need to deliver on shareholder value. The shareholders will not be diluted. Clearly, if we have a prolonged period of depressed stock prices, I think there are very interesting opportunities for us to decrease the share count in terms of either restructuring or repositioning these plans, as well as what I would hope, I think, one needs to look conservatively into '08 after we file the '07 10-K. Obviously with the publicly disclosed constraints on the bank term loan, which has given us some nice balance sheet cushion, looking at those constraints, and looking at the '07 K getting filed on a timely basis as Judy described, I think then we also bring into play repurchase of shares as well as repurchase of convertibles. I think we're at a very interesting point. I'm digressing a little bit just in terms of where the share count may be, and there I think you need to factor in the stock comp expense. But what I say as a final close, Pat, is as I arrived at BearingPoint, we got down to less than one-half of 1% of employee ownership. We are now in the mid to high teens, and so we have to do a lot of catch up. I would expect not only would you see plateauing in the near term, but you'll see decreases. We just had to catch up from levels that were for lack of a better expression, abysmally low.
Operator: Your next question comes from Julio Quinteros - Goldman Sachs
Julio Quinteros: On the headcount and the attrition metrics, looking at where we are from a headcount perspective today versus where we were at the beginning of the year, what is the headcount ramp plan as we go forward from here?
Harry You: I think we're going to be conservative on the headcount. I couldn't be more pleased or delighted, Julio, that we are at 80% utilization. It's higher than the company's ever been. I feel like we still have room to go, as I mentioned, in terms of where we go in getting out of unprofitable businesses or segments that we shouldn't focus on where the account size is small, where the corresponding G&A cost to support it is disproportionately high. So I think when you look at our headcount, you have to take those perspectives in mind. Our MD to staff pyramid has improved from 18:1 to 20:1. Generally, we are getting significantly higher billing rates across all of our segments. So I think it just shows we are getting better profitability. It is a long-winded way of saying our headcount has generally been flattish, but we are driving significant productivity, whether it's in the pyramid, whether it's in utilization, or whether it's in bill rate. I'm also excited because I think one of the other hidden benefits as well as hidden struggles of not being current was all the fight relative to keeping our best talent. That's just going to get disproportionately easier, post-November. I think sometime in '08, we will probably have a better, more formulaic discussion with you of how headcount translates into better profits and profit margin. But right now, we've just been squeezing out big efficiencies that are laying for the taking.
Julio Quinteros: I just want to double-check this, but for March, I have attrition at 23.9% and I believe the current quarter number you gave is 25.8%. Is that correct for the employee attrition?
Harry You: Yes, it is correct. Our attrition, just like attrition at Goldman Sachs, is largely seasonal, so you need to really look year over year in terms of when we are hiring people, when people receive bonuses, how some people may respond to that. We also, I think, unlike perhaps some others in our industry, Julio, are very conservative. We don't tend to separate out people who have been gently cajoled out of the firm. We don't squeeze those out of the attrition numbers, but I'm comfortable here that once we get current and timely as Judy detailed, I think we'll be at normalized levels. I think now that we're reinvesting in training with our people, I think our people are generally feeling better about the future and not having to spend their extra time doing mundane but previously essential stuff like audit binders.
Operator: Your next question comes from Adam Frisch - UBS.
Adam Frisch: Two things on liquidity, Harry. I think that's the key with where the stock is. First, I'm assuming that the cash balance forecast for year end do not include any proceeds from EMEA, is that correct?
Harry You: That's correct.
Adam Frisch: Why should we be confident that the cash balance is going to continue to improve? Do you anticipate the company needing to raise any more capital in the near term?
Harry You: We don't anticipate any need for capital. I think when we raised capital this summer, we wanted to make sure we had some extra cushion because ultimately, my first priority as well as Judy's and the management team's and the board’s was to make sure, and I think everyone needs to remember this, we wanted to make sure we got the numbers fixed and fixed correctly. Judy and I always look at each other and say our number one goal, although it's something we obviously can't control all within our power or our group's powers is to try not to have any restatement. I think we feel very good that we've cleaned up so many mistakes from the past. I think as you've heard me describe before, Adam, it was like 35,000 mistakes in the ledger, and we've gotten the numbers cleaned up and stabilized, we've remediated the financial system, so now it operates. I think everybody has to realize in the end our biggest priority was to get that done, to get current; that's now within sight, within literally a handful of weeks. And I think to give everyone confidence on the cash projections, we've had a robust syndicated lender group. We have been above their projections for the year in general. I think the banks have good confidence in terms of how we are managing cash, we've very consciously spent money on certain critical issues, but people have also seen the uptick in cash and what we signalled to you at the beginning of the year, very close to what we had planned. We have had a little bit of upside as well here. once again as I mentioned, I am looking forward to '08 being free cash flow positive. We're obviously not going to be all the way there in terms of driving down SG&A. We have one more year of that, and we have to get the public sector system fixed. The level of these one-time costs is just at a much more manageable level than what it's been in '05 and '06. As I mentioned, I think we proved in '07 we could start the cuts on SG&A. But when you think of it, the end of November/early December timeframe, that's really the key inflection point on all these costs and hopefully what the free cash flow for the business is. I think we do have uncertainty in terms of the overall business environment, but the general cash trajectory is in our hands and in our control.
Adam Frisch: On EMEA, I think the progress that you cited in your comments getting done maybe in the next month or two will likely increase speculation about the sum of the parts. Our own suggests public services as a standalone is probably worth $6 exclusive of net cash. Is this way of thinking totally off base in your view, the values that are out there on The Street?
Harry You: I know, Adam, you and others have written reports on the sum of the parts. I think we have a complex tax situation. Obviously we need to do what makes sense strategically to optimize the business, but also 100% prosecute our fiduciary duty to shareholders in the best manner possible. So as for those of you who know me, you can appreciate my statement here that we have looked at all options, we continue to look at all options. Clearly we need to decide whether we do EMEA in the first place. As we described before, potentially doing EMEA also has some interesting tax benefits and ramifications, which I think generally people haven't factored into their model. But I think as you are indicating, the bulwark of any sum of the parts analysis, which I think is apropos when you look at strategic alternatives, is as you mentioned, our public sector business. I think here you have a business that was a $10 million revenue business in '89 and is now over $1 billion less than 20 years later. Standalone it's almost a mid-teens 14% to 15% EBITDA margin business that if you do the math, would on its own produce over $100 million in net income. You guys know the values better than me, but that's obviously a very valuable business as are our other businesses. We are certainly cognizant as we weigh all the different alternatives of how the math works. But at the same time, I think what people have to appreciate is there are some business realities we need to balance, and we need to balance all the different alternatives on whether they make sense from a fiduciary sense for our shareholders or not. Does that help?
Adam Frisch: Harry, at the end after you talked about strategic initiatives, you said the margins would be down in '07 versus '06, correct? You did not give any view on '08 yet?
Harry You: That's correct. Adam, hopefully one of the things that will attract a good healthy crowd or maybe a bigger crowd for the analyst meeting I described is Judy and I will walk through what we are looking for in terms of '08 here. I think I'd have to say though it will be very important to see how the next couple of months in the stock market and the global business environment unfold. I think our business tends to have a lag factor relative to the S&P, so the business environment looks good. I think there's a lot of potential volatility in certain sectors, especially the financial services sector. We are mindful on making sure that we are conservatively budgeting as we look to next year. In the PS business, obviously we feel great about having a record quarter in the third quarter, but there potentially may be a change of administration in the White House, there may be a change in spending priorities, if there's a further party shift on Capitol Hill, so we will wait a little bit longer before we make an '08 call here.
Operator: Our next question comes from Andrew Steinerman - Bear Stearns.
Andrew Steinerman: Harry, you were kind enough to give us an SG&A efficiency goal. Do you think maybe you could also lay out a gross margin goal, even if it's end of '09 or further out?
Harry You: I think for us to be worth our salt, we need to consistently be a double-digit EBIT margin company. We're clearly dealing with the business cycle now, and I think when you look at '06, I think you'd say but for some one-time costs, we were more than there. I think how we track out in '08 and beyond we'll have to see how the next handful of months go. So that is clearly my target, because it puts you in the top quintile of our industry, it just means you're doing value-added work, it means you can pay your people better, and so that's how I net it all out.
Andrew Steinerman: That includes stock comp, right?
Harry You: Yes.
Andrew Steinerman: Your goal for SG&A by the end of '09, is that assuming that 2009 is not a recession, or do you think you could do that in any scenario?
Harry You: I think we are determined. I say this not only at the senior management level, but also at the board level, Andrew. We have to get SG&A to normalized levels. While I can talk about the issues that were laid upon us from the past, Judy and I and others in the management team increased the SG&A to fix these problems, and now we have to reduce the SG&A now that the problems are going to be largely behind us. I think when you look at the scope of what SG&A needs to be reduced, Andrew, I've put it in a handful of different buckets. I think it's past inefficiencies like real estate and IT which we're still chipping away at; and then it's big chunks of one-time costs that should more rapidly roll off in areas like finance and accounting; then there are longer-term areas of productivity in finance or accounting or legal where I think by doing our business more effectively and with better systems we can run at lower SG&A levels. Clearly, I think one of the interesting issues to see, depending how the board looks at EMEA, is that we have what I would call inefficiencies in scale and scope on some SG&A because of our global footprint. I think we're doing a lot of work to see how we might more rapidly accelerate SG&A decline if we decide that it is appropriate to reduce the consolidated country footprint of BearingPoint.
Operator: Our next question comes from George Price - Stifel Nicolaus.
George Price: Harry, going back to EMEA, we have improving fundamentals, what would now seem to be the benefits of geographic diversity, given the macro environment and what is happening in commercial, particularly financial services in the U.S.; BearingPoint's lack of an offshore capability, which I think is at least for the time being less of an issue in Europe; so why sell it? Part of that you hinted at was the tax benefit. I wonder if you can give us any more color as to the magnitude you may preliminarily be thinking about there.
Harry You: I think this is for our board to decide, and I say, George, all your comments are valid comments and ultimately, each person on the board -- and certainly there will be a recommendation from management – will have a price that encapsulates what makes sense or not. I think we'll look at all these factors, and I think there's nothing deterministic. If the price were too low, it would be better to keep the EBITDA and the tailwind from the dollar continuing to decline over the near term. But if the price is a sufficient or fair one, we will look at the other financial benefits and other business benefits and potentially go ahead.
George Price: Do you have any way to quantify what kind of tax benefit we could be talking about from that?
Harry You: I think we mentioned on an earlier call, George, I think the accumulated NOLs and tax loss carryforwards are $863 million. Obviously this changes as we go quarter to quarter; it's not to say that all of those benefits might be usable in the context of certain future transactions or a certain operating profile, but it's a big chunk of tax benefits.
George Price: If I could then on offshore, we didn't really hear much about that but for a comment at the end. Can you maybe just step back and review what your current thoughts are and what BearingPoint's current strategy is with respect to global deliver? Maybe give us an update in terms of global delivery headcount footprint in China and India?
Harry You: George, when I arrived on the scene I think we had 38 people in India, and I think they were in Chennai. Now we're well over 300. We have several hundred people in China. We are just establishing a footprint for our EMEA business in Romania, and we have about 150 people in Hattiesburg, Mississippi. I continue to believe that we have an interesting business positioning in the sense that yes we do need offshore, these global delivery centers, but it's not as important for us as our large competitors to make the numbers and to make growth. Our public sector business is 41% of our business, traditional offshore is not going to affect it, I think the state and local government and municipalities and the federal government are pleased that we are establishing presences and places like Hattiesburg, Mississippi. So I feel like we are addressing that need. George, I feel it's just more important for us ultimately to make sure we're reinvesting in high value added solutions. We don't have to slug it out with people punching at the belt line. Obviously there are some offerings that we need to have to be competitive, but our scale of businesses is very different from some of our competitors. We can grow revenue by not necessarily having to have thousands of people offshore. But at the same time, I would be the first to admit I would like to keep improving that capability. We are not at critical mass yet, but it's not something that I fret about late at night.
George Price: Real quick, MD attrition, do you have a number for that in the second and third quarter?
Harry You: Yes, I gave the number, it's at 9%. Once again, before I arrived on the scene it was 23%. It's been pretty consistently in the mid to high single-digits. I couldn't be more proud of our team, George, to go through what people have gone through, to think of all the errors people have had to clean up, the losses, the cash losses I described well over $1 billion. I was telling one of our shareholders the other day it would be as if the General Electric team had to dig out of $150 billion of mistakes and sins of the past. We're now largely through that. The team has held together, they have been able to grow the business despite some of our competitors being aggressive in detailing some of our issues, or just grossly inaccurate, and we're actually coming after some of them, which Ed and I are delighted to do. So I couldn't feel better about the team we have. I think really the big challenge is we have an uncertain economic environment and all of us will have to dig in hard and work through that, but I'm confident that a team like we have that's gone through the last three years, that team can surmount just about anything.
Operator: The next question come from David Cohen – JP Morgan.
David Cohen: I was hoping that you would share your view of the one-time charges in both the quarter and year-to-date, if you can quantify them?
Harry You: We'll have Francesca and Denise follow up with you and go through the issues. I think how I look at them, David, is they have decreased significantly from 2006. I think what I've signaled and I hope everybody understands is it will decrease again in 2008, but we won't be entirely rid of them either. Ultimately, I think as we get together at an analyst meeting, as soon as we practically can pull one together as a current and timely company, we'll walk people through the business model and what the residual, one-time charges are. But they are obviously a lot less than what they were in '05 and '06.
David Cohen: I haven't had a chance to get through the 10-Q just yet. I was wondering if you have given the headcount by segment there or if you could share it with us now?
Harry You: We will follow up with you. David, you would be the most incredible speed reader if you got through the 10-Q, because I think we got it out like two minutes before the call started. So if you did get through it, you should be one of the most hirable people in equity research in our sector. Anyway, I'm sorry to be so glib there, but we will follow up and walk you through the numbers.
David Cohen: That's fine. I'm happy with the job I've got right now. How much cash do you need to run the business intra-quarter?
Harry You: Judy can give her view. We generally have fluctuations where it's nice to have a couple hundred million of cash on the balance sheet and I think you guys have seen some of the seasonal fluctuation. But in the end, what I've always felt is attractive about running a business in our particular area as a sector is that it should be a strong free cash flow business and a high return on invested capital business. We are shrinking our CapEx, it's not like we have a huge portfolio of outsourcing or managed services contracts. It should be a pretty cash lean business. We just have to write some big checks to temporary accounting firms and other people that will very soon be a thing of the past.
Operator: Your next question comes from Susan Chen - Merrill Lynch.
Susan Chen: Thank you. Harry, you mentioned the international bookings decelerated year over year. What areas or industry verticals are you seeing some weakness in? What's your outlook for 2008?
Harry You: Susan, I don't want to make any broad inferences, because I think year over year for our quarters it can be lumpy in terms of some individual countries. I think obviously we've seen some general weakness in financial services; manufacturing has been a little weak, but as I mentioned some of the other sectors, life sciences, and telecom and the technology business have been strong. I generally say, because I was talking with a shareholder last week, I mean who would have thought that you would say that tech companies would be a more defensive sector? But as I've said many times in the past, what you tend to see in the stock market you also see in our bookings, and the technology companies have done very well and they have lots of pent-up IT systems spending. I wouldn't draw a huge conclusion when you look overseas. Our businesses are relatively small, so one big booking here or there in a country tends to swing the growth numbers pretty significantly.
Operator: Your final question comes from Rod Bourgeois – Sanford Bernstein.
Rod Bourgeois: Harry, you started your presentation out talking about the business being at a turning point. I wanted to inquire about that, because it seems like a lot is hinging on getting these financials current, and that is helping with the turning point in the business. My specific question on that is, it seems that some of your margin issues are related to not being current with financials. That is, the external F&A costs. But there's also a number of margin issues like real estate and other things that don't seem to be directly a function of being current with financials, or being not current with financials. Can you help investors understand how the margin pressures will be alleviated when you get current with financials? Or how the turning point is coming across the broad range of margin challenges that you are currently facing?
Harry You: I think the first thing, Rod -- and thanks for your question, and congratulations, by the way -- I think the real issue is you have to just understand the pressure in terms of all the catch up. I mean we have some MDs that have had a particular project or contract audited and re-audited seven or eight times. Just the opportunity cost of people collecting historical information has taken away from utilization, it's taken away from spending time out with your customers and getting new bookings. There's also been the issue with junior folks on retention. And in general, just generally reinvesting in the business. So I don't know and I am certainly not smart enough to quantify the negative impact, but in my gut, I know that having that relieved from people will be just a wonderful feeling for all of us, including myself. So I don't want to overstate how good it will be, but my gut feeling is boy, you can't imagine how painful it's been. So I think it's going to be pretty darn good once we get back to being a normal company in terms of how people have been able to focus. There are a number of issues that I would call sort of marginally related. Clearly, when you have more retention challenge, you have to probably pay a little bit extra on the margin on comp. We obviously had catch up on stuff like stock comp expense which depressed margins more than normal. Certainly when the banks looked at BearingPoint's credit capacity, I think very interestingly, the vast majority of potential lenders in the syndicate have viewed 80% to 100% of this stock comp expense as one-time expense, just because how many companies in our industry would ever get to a point where they had only about one-half of 1% ownership? I think you have to look at that impact. It plays into the retention piece. Then other areas are independent, as I mentioned and you mentioned, like real estate or getting our IT to a better level. But once again, not having this overhang of worrying about getting current and we should be able to focus on those issues and become more efficient, more quickly, and sustain it there. I think once again -- and I'm sorry to sounds like a corporate advertisement -- but I couldn't be more proud of our people, because they got thrust into a terrible hole by some of the mistakes of the past. They have dug themselves out. We can now see out of the hole, we're going to get on ground level or sea level with all our competitors, but even fighting with one hand behind our back, and fighting two to four feet underground, we're still able to win a lot of business and grow the business. I think just what Ed has been driving in terms of utilization or what the business units have been driving in terms of new solutions, I think those bode well. At the same time, I think I'm sober, because certainly some of our biggest critics, Rod, are internal. We're like a sports team that has never strung it all together, all at once, right? So we need to make sure that we get into the play-offs and we don't have excuses, one game to the next on why we didn't win by a good margin. I think we are now in a position where we can potentially say that in the future. So that's I think what we are all excited about.
Rod Bourgeois: So it sounds like there are a number of indirect benefits to getting current with financials and that's helpful to get perspective on. One other quick question, and thanks for the congratulatory comment there, but on the cash flow you had really strange cash flow in the first half, but it looks like the cash balance went from $349 million in Q2 to $430 million in Q3, so it's up $81 million sequentially. Can you give some more specifics on the puts and takes on the Q3 cash flow? Clearly DSOs was positive, but can you give us more specifics on how the cash flow improved in Q3?
Harry You: I'll simplify, Rod. It was very largely DSOs and I think if you look at what the business produced, instead of the business producing losses which it did in the first half, in Q3 call it breakeven or making a buck or two, right? Now we just have to keep driving forward from that. But once again, think of the challenge where you have everyone worried about getting current, and how we remediate our SOX issues which we made huge progress on, remediating systems, trying to hold on to the ten people who work with you who are worried about things. I mean, those sorts of issues are going to recede and I think that my prediction is the benefit will be better than one might think because the hurt has been worse and taken longer than one would have thought.
Operator: There are no further questions at this time.
Connie Weaver: Thank you all very much for joining us here this evening. We appreciate your time and your attention. As always, please feel free to call Francesca Luthi or Denise Stone or myself for follow-up questions. That number is 908.607.2100. With that, have a wonderful evening. Thank you. 